Executives: Glenn Landau - Vice President of Investor Relations John V. Faraci - Chairman, Chief Executive Officer and Chairman of Executive Committee Carol L. Roberts - Chief Financial Officer and Senior Vice President Thomas Gustave Kadien - Senior Vice President - Consumer Packaging and Ip Asia Mark Stephan Sutton - Senior Vice President of Industrial Packaging Timothy S. Nicholls - Senior Vice President of Printing & Communications Papers and IP Latin America Tommy S. Joseph - Senior Vice President of Manufacturing Technology Ehs&S and Global Sourcing
Analysts: Gail S. Glazerman - UBS Investment Bank, Research Division Mark A. Weintraub - The Buckingham Research Group Incorporated Chip A. Dillon - Vertical Research Partners, LLC Phil M. Gresh - JP Morgan Chase & Co, Research Division George L. Staphos - BofA Merrill Lynch, Research Division Paul C. Quinn - RBC Capital Markets, LLC, Research Division Steven Chercover - D.A. Davidson & Co., Research Division Albert T. Kabili - Crédit Suisse AG, Research Division
Operator: Good morning. My name is Phyllis, and I will be your conference operator today. At this time, I would like to welcome everyone to the International Paper First Quarter 2013 Earnings Conference Call. [Operator Instructions] Thank you. Mr. Glenn Landau, you may begin your conference.
Glenn Landau: Thanks, Phyllis, and good morning. And thank you all for joining International Paper's First Quarter Earnings Conference Call. Our key speakers this morning are John Faraci, Chairman and Chief Executive Officer; and Carol Roberts, Senior Vice President and Chief Financial Officer. During this call, we will make forward-looking statements that are subject to risks and uncertainties, which are outlined on Slide 2 of the presentation. We will also present certain non-U.S. GAAP financial information, a reconciliation of which you will find available on our website and in our other disclosures. Our website also contains copies of the first quarter 2013 earnings press release and today's presentation slides. Lastly, on Page 4, given our expanded disclosure around the Ilim JV, we provided some context around the joint venture's financial information and statistical measures. So with that, I will now turn the call over to John Faraci.
John V. Faraci: Thanks, Glenn, and good morning, everybody. Let me start things off by saying, overall, I'd frame the first quarter as okay. At $928 million EBITDA, that's comparable to the fourth quarter of 2012 and up versus the first quarter of 2012, primarily driven by strong results in Industrial Packaging, European papers, IP Russia and Brazil. We got to the cheap end of our $400 million stretch synergy target for Temple and we got there faster than we thought we would. We got greater than the full recovery of the September containerboard price increase through boxes with $55 of realization in the quarter. And after a challenging fourth quarter of operations and some early carryover issues into January and February, we closed the quarter strong, back to what we expected in International Paper normal good IP execution all around the world. In Brazil, we realized the full cost savings benefit of the biomass boiler and closed on the corrugated packaging acquisition, IP Orsa, where we are off to a good start integrating the business and you'll hear about that a little more this morning. But outside of the normal lower seasonal demand that we always have in the first quarter and some higher fiber costs, primarily OCC versus fourth quarter, we had some headwinds, the biggest one was a noncash foreign exchange swing at our Ilim Joint Venture due to a weaker ruble, and Ilim's got a sizable amount of U.S. dollar debt. We had some headwinds on the revenue side in xpedx and so they were challenged. And we also had higher corporate expenses that were not S&A related and actually accounted for most of the gap between where we came in and first call. Before I turn over to Carol, let me just say upfront what I am going to say at the end. I just want to make sure investors understand this. IP is a cash flow story. We're going to be approaching $2 billion of free cash flow in 2013. As we look at the year, we're now over 4 months into it. We think that's -- we got a line of sight to that. And we're going to allocate that cash flow in a balanced way with a portion of it back to share owners. Four months into the year, we now have a more clear line of sight to the $5 billion of EBITDA that we talked about with investors at that last Investor Day. So I'll come back and talk about that again at the end, but I just wanted to get that out upfront. So now let me turn it over to Carol to take a closer look at the quarter, and then we'll come back and take your questions.
Carol L. Roberts: Thanks, John, and good morning, everyone. As John just indicated, earnings in the first quarter improved year-over-year on stronger sales, which were primarily associated with the acquisition of Temple-Inland. Despite some of the assignable headwinds that John just described, our free cash flow story remained intact in the quarter and our expectation is that it will continue to accelerate throughout the rest of the year. To that point, cash from operations was negatively impacted by working capital swing and that was primarily associated with higher receivables, which is quite normal in the first quarter given the seasonal higher volume that we saw in March versus December as well as the additional impact of the higher box prices this year. The net impact of that was nearly $200 million of cash consumption, which will largely come back to us over the next couple of quarters. Moving to Slide 7. Relative to our return on invested capital in the quarter, we were flat with last year at just over 8% above -- and that's above our cost of capital. Looking at the EPS bridge from the fourth quarter of '12 to the first quarter of '13, IP posted operating earnings of $0.65 versus $0.69 in the prior quarter. Overall, higher average sales price and mix contributed $0.09 per share and that was primarily driven by Industrial Packaging, but was also impacted by increased export mix in print papers and modestly softer paper selling prices in North America. We saw the expected seasonally weaker volumes across our global operations, $0.05, and higher recycled fiber cost of $0.04 that more than offset the slightly lower annual maintenance outage spending in our core platform businesses. And as John indicated, xpedx earnings fell quarter-over-quarter by $0.02 due to continued weak printing and publishing demand. And finally, also as John stated, our Ilim JV posted a loss on the equity earnings line in the quarter due to a $17 million foreign exchange swing as the dollar strengthened by more than 2% versus the ruble. Going to Slide 9. In terms of downtime in the quarter, the story was largely around planned maintenance outages with nearly 170,000 tons in containerboard in our Industrial Packaging business and another 32,000 tons of paper and pulp combined. In Consumer Packaging, as we previously disclosed, we successfully shut down the paper machine #2 at Augusta at the beginning of March. And in the quarter, that removed 12,000 tons of capacity. And on a quarter average basis, that's 36,000 tons of capacity. So with that closure, we will effectively balance our coated paperboard capacity with our customer's demand. Taking a look at input costs on Slide 10. Costs were up $22 million quarter-over-quarter or $0.04 per share, and our North American Industrial Packaging business absorbed the lion's share of this headwind and it was primarily associated with higher recycled fiber costs, which rose to $150 per ton on average delivered by the time we ended March. Moving onto Industrial Packaging on Slide 11, Industrial Packaging posted what I would call a solid first quarter with operating profits of $369 million. The primary driver was the full realization of the September domestic containerboard and box increase, which added greater than $70 million to the quarter, coupled with higher containerboard export price realizations that added an additional $10 million. So we saw $80 million in higher prices but this was partially offset by a seasonally higher mix of export, which resulted in a net $68 million upside that you see on the bridge for price and mix combined. This was offset by seasonally weaker volumes for us, higher planned and maintenance outages and input costs and an increase in overhead allocation that we assigned to this business. One detailed point on operations and costs, the mill did run better in the quarter, nearly $10 million better and we did see incremental synergies of additional $10 million, but both of these were offset in our earnings by the nonrepeat of a net benefit of $11 million we saw from earthquake insurance proceeds that we received in Europe as well as some other one-offs in the quarter. Overall, I would characterize the market conditions as steady in the second quarter with continued tight supply and demand, although our supply chains operating effectively as we leave the quarter. And as we know, we're moving into a stronger seasonal agricultural mix into the second quarter. Moving to Slide 12. I think this just continues to be an important metric for our business. Even with the incremental outage expense in the quarter, we remained among the top of our industry peers with a 19.2% EBITDA margin in the first quarter of '13 versus 17.3% for the first quarter of last year. It gives me great pleasure taking a look at Slide 13. Just about 1 year since we closed on the acquisition of Temple-Inland to declare that our Industrial Packaging team has crossed the finish line and exceeded our stretch goal of $400 million in run rate synergies in the quarter. Achieving this result involved literally hundreds and hundreds of unique initiatives and efforts really across the entire company and certainly most focused in the Industrial Packaging business. So let me compliment the team for a job well done and just let me add a little bit of additional color. During the last year, we reduced S&A by over $100 million, we leveraged best practices and rebalanced our combined product mix across the mill system to significantly reduce consumption of fiber and raw materials worth over $60 million. We took the tough step and closed 10 box plants, reducing fixed costs and labor worth over $100 million and we did this while continuing to meet our customer's demand. And importantly, as well, we leveraged our consolidated purchasing position across the company to structurally reduce input cost by $45 million. So, all in all, a great effort. Now with that said, the synergies are in the bank, but we're not done. We have significant optimization in front of us for some time given the scale and reach of this combined system. Looking forward, as you can see on Page 14, we have successfully implemented the April containerboard increase and we're implementing the box increase with our customers with expected realization of the box increase to come in -- as it comes in towards the end of the second quarter into the third quarter and fully complete by the fourth. It's important to note that given the required purchases of containerboard associated with the mill divestitures outlined by the DOJ, we will be and are paying higher prices for the board that we buy from these entities in the second quarter on. The exposure to this increased purchase containerboard costs in the second quarter, combined with the normal lag on box price realization, will result in a margin squeeze for the second quarter with the earnings upside to be realized in the third and fourth quarters as we implement the box increases. And just a reminder, the required purchases outlined in these supply agreements will be reduced in a stepwise fashion from the roughly 200,000 tons per quarter that we are doing now to 0 required by the second half of 2015. Moving to Latin America on Slide 15. We closed the purchase of the 75% of Orsa's corrugated packaging unit in the first quarter of January 15, forming Orsa International Paper. We're very pleased with the transition process to date and the integration's going really well. So no surprises here. Now the good news is that the Brazilian corrugated demand continues to grow and Orsa IP outpaced market growth in the quarter with a 5% year-over-year increase in sales. So more to come as the team finalizes and implements its '13 and '14 market synergy and cost savings priorities, but we feel real good about our start down with Orsa IP. Moving onto Consumer Packaging on Slide 16. In Consumer Packaging, the segment improved operating profit quarter-over-quarter on lower planned maintenance outspending. Ivory board prices were up at the Sun JV and an improved mix kept SBS pricing relatively flat in the quarter. Volume was seasonally stronger, but was more than offset by an unplanned reliability issue in January on the digester at our Augusta mill in Georgia and some other efficiency issues early in the quarter, but we did finish very strong in March. And once again, I already mentioned that it should be noted that we did successfully shut down the Augusta 2 machine in the quarter. Slide 17. Important, very important to our business, our backlog of unmade SBS orders like the industry chart that's shown here. We are at the highest level we've seen in a couple of years and we were out 4 to 5 weeks. We see this as an inflection point that it may drive some upside to the relatively weak year-over-year demand comps that we'll see in the coming quarters. Moving to Printing Papers. The Printing Papers segment operating profit improved quarter-over-quarter to $149 million despite modestly lower prices in North America, seasonally higher export mix in Brazil and seasonally slow demand across our global operations, North America, Europe and Brazil. Strong operations supported by energy savings associated with the successful operation of the biomass boiler in Brazil, as well as lower planned maintenance outages drove the upside in the quarter versus the fourth quarter of '12. Looking at Slide 19. Here's just a another great example of how our global Printing Papers segment is truly differentiated from our competitors, both domestic and global. Having operations around the world in both mature and growing markets, we're able to shift supply regionally to continuously upgrade our mix and maximize our capacity utilization. This example is not unique and it's actually embedded in our '13 plan, but I think it highlights how much we can use our footprint to gain an enterprise approach to margin expansion. So let me explain this one. As you see, as demand grows in Latin America, we're able to repatriate exports produced at our mills in Brazil and sell those tons on the continent at significant geographic mix premium versus, in this particular case, Europe. This allows the U.S. to maximize capacity utilization and improve existing export mix by selling A4 cut size in Europe versus, say, lower margin at offset rolls. And finally, the steady supply of imports to Europe of commodity cut size grades enables our European mills to produce and bundle higher-end premium grades for their customers, thus improving margin. So win-win-win and IP realized a $17 million in incremental profit annually on this internal mix upgrade alone. And to see how that plays out, you can see it here in our IP Brazil Printing Papers business that achieved a 30% EBITDA margin in the first quarter of 2013 in what was otherwise a seasonally slow high export mix quarter due to seasonality. The margin expansion achieved in the quarter is structural and highlights the potential of this strategic region. The upside is being driven by excellent execution, lower costs associated with the biomass boiler and improved local pricing. And this is all enabled by our talented team that we have in Brazil. One last slide on Brazil, Slide 21. Here, you can see quarterly energy cost savings in Mogi Guaçu post start-up of their biomass boiler as well as the energy mix that drives these savings. Essentially, the new biomass boiler has reduced consumption of fossil fuel by virtually eliminating the need for high cost gas, replacing it with lower cost sustainable forest biomass. So a real win for the business. Moving on to xpedx. As I shared when speaking to the company earnings bridge earlier, xpedx earnings were down by $9 million versus the fourth quarter on seasonally lower revenue per day. Despite these headwinds, the team remains focused on executing on their controllable cost savings initiatives. Moving to Slide 23. On April 22, we disclosed we were in talks with Unisource Worldwide regarding a business combination between xpedx and Unisource. As we shared, we executed and are working within the terms of an exclusive, nonbinding letter of intent to explore a possible transaction. For the team at IP and throughout xpedx, we see this as a great opportunity to create value for our shareholders and customers. The proposed Reverse Morris Trust transaction would be tax-free to IP and our shareholders and would create a stronger, more competitive distribution company that we believe will have significant merger benefit opportunity. Turning to Page 24. Given the entire process to close could take up to 12 months, we've included an illustrative view of the RMT process to highlight what may be ahead. In step 1, International Paper would spin off xpedx as a subsidiary of IP, place that on the subsidiary and distribute those debt proceeds back to IP in the form of a dividend. In step 2, IP would distribute shares of the xpedx subsidiary to our shareholders. xpedx would become a public company through an IPO and immediately merge with Unisource Worldwide to create the new entity, again building what we believe will be a much stronger company, better equipped to navigate in this space going forward. So as this evolves, we have more to come. And lastly, before I move on to the outlook, I wanted to provide a brief update on the progress being made on the expansion projects at our Ilim JV as outlined on Slide 25. While the second quarter will be the transitional quarter that we've been waiting for, the magnitude of the ramp-up at both Bratsk and Koryazhma will likely lead to start-up costs in the range of $20 million to $30 million on a consolidated basis in the quarter. The good news is that we expect full operational and commercial ramp-up of the pulp line in Bratsk and the paper machine and sheeting operations at Koryazhma over the next 6 to 8 weeks. So looking ahead to the second quarter of '13 on Page 26, we expect higher volumes across our global businesses as we move into a stronger seasonal demand period in North America and Brazil. Like I said earlier, while we will see some containerboard and box price realization in Industrial Packaging, increased prices on the containerboard purchases will partially offset this benefit in the coming quarter. And in Consumer Packaging, we will see some modest board and carton price increase in the quarter as we execute on the previously announced increases. Inputs in the coming quarter will be largely stable other than a continued upward bias for OCC and wood cost pressures that we're seeing in Russia. And relative to planned mill maintenance outages, the second quarter schedule is the heaviest of the year for the company and will drive more than $110 million in incremental expense versus the first quarter. And finally, the Ilim JV expansion project start-up costs, which will hit the equity earnings line will more than offset the nonrepeat negative currency impact that we saw in the first quarter. So with that, now let me turn the call back over to John to summarize and wrap up.
John V. Faraci: Okay, Carol, thanks. In closing, as I already shared at the front end, I feel good about our exit rate of earnings in March, much stronger than January and February and our execution. We ended well after a couple of inconsistent months. The supply chain still remains tight especially in Industrial Packaging, but it is operating well. So we're back to normal expected IP execution. Looking ahead, we see seasonal demand improvements in packaging both in North America and in paper in Brazil. We're also going to start to realize some of the North American board and box price increase during the quarter, but the benefit is going to be partially offset by higher costs from containerboard that we purchased as part of the settlement agreement with the DOJ related with the Temple acquisition that Carol talked about. And I'd just remind you, that volume that we were required to purchase by the agreement ramps down at the end of 2000 -- second half of 2015, it goes to 0. Further, we're going to have our peak outage quarter in the second quarter. That's going to be more than $100 million quarter-on-quarter. So it's a big system, we've got a lot of outages. Second quarter is going to be our big quarter. We also got the bulk of the start-up costs associated with Ilim. And just remind you, 2 projects, $800 million project in Bratsk; $300 million project, Bratsk as a pulp line, Koryazhma as a paper machine. Over $1 billion of projects now completed into the commissioning phase that's not going to be cash to IP, but it is going to show up in our equity earnings and we expect to be making cut size paper at Koryazhma. At the end -- by the end of May, we're making size offset now and we're just starting to make and sell pulp off the Bratsk machine. We're also going to see higher tax rate quarter-on-quarter as we go back to a normal rate that's in the 30s, low 30s. So all things considered, we think the second quarter is going to look similar to the first quarter on an EPS basis, but it's going to position us for a very strong second half of the year. So 4 months into the year, we're now in the second quarter. What we see now, we're confident that we're going to deliver in the second half of the year. We ran well in April. In January, I shared with you when we had our fourth quarter conference call, our view of free cash flow in 2013 moving into '14 was going to approach $2 billion. We still see that. Actually, we have more line of sight on that now as we're 4 months into the year. We have clear line of sight -- in fact, more clear line of sight on the $5 billion of EBITDA that we talked to you about for International Paper at Investor Day. We may get there a different way, but I think, importantly, International Paper's got the levers to pull and more upside with our global footprint. So with that, let me just turn it over to the operator for questions.
Operator: [Operator Instructions] Your first question comes from Gail Glazerman with UBS.
Gail S. Glazerman - UBS Investment Bank, Research Division: I guess, maybe, John, just starting on the last comment that you might get to that $5 billion EBITDA goal a different way, can you maybe enumerate some of the positives and negatives? Is it pricing offsetting operations or something else?
John V. Faraci: I think we've got the tailwinds in our Industrial Packaging business, but we've got some headwinds from where we were back in 2011, some headwinds from coated paperboard. The Asia, we've got an excess capacity issue in Asia. So we're going to see Asia, particularly in the joint venture over there struggle for a while because there's a lot of paperboard capacity coming on. We all know what's going in the Chinese economy. Europe, while our business in Europe is still in a -- our paper business is doing really well. Our box business in France, Italy and Spain is -- looks like France, Italy and Spain. So I think there are pluses and minuses. But by and large, we have -- we didn't have complete line of sight when we talked about our Reaching Our Potential, but we've got much better line of sight now and I think you'll see that start to show up in some of the run rate EBITDA numbers we're going to be sharing with you in future calls.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And looking at Consumer Packaging, Carol, can you give maybe a little bit more detail on the operating headwinds you had in the first quarter and how to think about that moving into the second quarter as the machines shut and presumably you're running better. And also maybe give a little bit of color into the pickup in backlogs, what you think is driving that? Is it inventory restocking or something more sustainable? And are you seeing a similar trend in any of your other businesses?
Thomas Gustave Kadien: Gail, it's Tom Kadien. Let me start on the operating issues. We had a digester plug in early January, that was already discussed but that cost us several million dollars. We also took I think 24,000 tons of lack of order in January. We got Augusta 2 down and at the end of February that cost us some money. But we ran very well really February through April. So operations, our system has settled down. If you look at the chart on downtime we were taking LLO consistently every month for the last year. We've now got a full system. Our backlogs, to your point there, the industry backlogs are up. We were out 5 weeks on paper. Our extrusion backlogs are significantly longer than that. They were out looking at 60 days on poly coated folding and cup stock, and pricing is moving. So it feels like an inflection point. And I think there has been some restocking, I would say, in the converting channel. But as we talk to our customers, they're seeing improved demand, so it's not just restocking. We're seeing that in the food service as well as the consumer food segments. So I would say it's feeling a whole lot more sustainable as opposed to just a short-term pickup.
Gail S. Glazerman - UBS Investment Bank, Research Division: Okay. And just one last quick one. Can you give any sort of update on the sale of building products?
John V. Faraci: Yes, the sale of building products, we've got a second request from the Justice Department and second request takes some time to work through. We would expect we're going to work through that just like we know how that works because we've been through it before. So I suspect sometime this summer. And in the meantime, even though building products is in discontinued operations, it's generating a lot of cash. It's doing quite well.
Operator: Your next question comes from the line of Mark Weintraub with Buckingham Research.
Mark A. Weintraub - The Buckingham Research Group Incorporated: First, I just wanted to get a little color if possible on how the box price initiative is going and if it feels very similar to prior increases or what types of differences you might be seeing, different types of challenges in the market price, if any?
Mark Stephan Sutton: This is Mark Sutton. The box price increase, we're in the process of implementation now as we move through the second quarter. And I'd say the only difference you might find is when you have a price increase in the middle of the quarter versus at the beginning or end of the quarter, there's just some structural issues around openers and when you can start moving. So that's really the only difference. Otherwise, we would expect to see similar realization from sort of past price increases.
Mark A. Weintraub - The Buckingham Research Group Incorporated: Okay, great. And also on the containerboard, are you seeing -- in the export markets, are you seeing any movement?
Mark Stephan Sutton: We've had consistent improvement in our export position from a demand standpoint. As you know, we are a strategic supplier in the export market, so we're always there at some level and we've seen both volume and pricing moving up. In fact, from last year's first quarter, we're up about $80 a ton in the export market and so we still see pretty good solid demand. It's for the U.S. craft liner that the rest of the world needs.
Mark A. Weintraub - The Buckingham Research Group Incorporated: Right. And then real quick, on xpedx and Unisource, I realize you're probably constrained to the extent you can't talk about it, but what would be the biggest potential sources of synergies when you put those businesses together?
John V. Faraci: Well, there is a lot of overlap. I mean, what makes the synergies and we've seen this in acquisitions we've done in IP and most recently in Industrial Packaging. When there's a lot of overlap, there's a lot of redundant functional costs you can take out. There's going to be a lot of warehouse space that can be consolidated because Unisource and xpedx are in similar markets. And I don't want to speak for the new co what they're going to do, but when we got together and looked at xpedx management and Unisource management -- remember, Unisource approached us, so they've done some homework. They showed us what they've done and we said yes, we agree. There's a lot of opportunity here to do things that are pretty much blocking and tackling. They take time and they're not easy. But it's not new stuff that creates a lot of upside for the 2 companies together, they couldn't get that upside individually.
Mark A. Weintraub - The Buckingham Research Group Incorporated: And on the purchasing side, are they already sufficiently big both of them that there probably wouldn't be a lot on purchasing? And obviously, they're purchasing stuff more than just paper. Any thoughts on the purchasing side?
John V. Faraci: I think there are going to be best practices that Unisource has, that xpedx has been working on other stuff, that they can adopt that make kind of the xpedx side better and there are going to be best practices that xpedx has that Unisource can take advantage of and that's the new company. So there'll be stuff that we're further along on in terms of responding to what's going on in the marketplace whether it's IT, whether it's purchasing, whether it's customer service, whether it's warehousing, whether it's transportation. It's a buy-handle-sell business. And we've already seen some of those differences, so there's a lot of stuff that we'll be implementing in one network that's not implemented in another network and it will cover all of that buy-handle-sell stuff.
Operator: Your next question comes from the line of Chip Dillon with Vertical Research.
Chip A. Dillon - Vertical Research Partners, LLC: It's interesting when you look at your Printing Papers business how well it's done when you look at the domestic decline in consumption. And I noticed -- I believe you all really haven't had -- felt the need to shut capacity in North America I think since Franklin 3 years ago. And so my question is as Carol showed on that one slide with a $17 million benefit from being global, is there more of that? And do you think we're going to come up on a time here in the next year or 2 where it might make sense where you will need to reduce your footprint in North America in that business?
Timothy S. Nicholls: Chip, it's Tim Nicholls. Yes, Carol represented just one piece of what we think the opportunity is in terms of leveraging the enterprise. That's all related to cut size and how we continue to supply customers in 3 regions and manage supply chains. So that's a good opportunity. We haven't shut any capacity since Franklin, but we're moving substantially more volume offshore, not only in cut size but in offset and forms rolls. And we're doing that in combination with our business in Brazil, making sure that we leverage both sets of assets to supply the customer base in the most efficient way. As far as capacity longer term goes, we're all about running the lowest cost system we can, if we see an opportunity to run at a lower cost, we will. But for now, we like the options that we have running the assets we have.
John V. Faraci: Chip, I think that -- I think it's really important, one is when we're moving that volume around the world, we're not out trying to take market share because what we're doing is, as Carol said, we're bringing volume back to Latin America where the market's growing. The other piece, I think, that's unique to IP around how we manage our paper businesses in Russia with Ilim and [indiscernible]. We've got a joint marketing agreement between Ilim and International Paper's so IP markets all the paper that's going to come out of this new paper machine that's in the Ilim Joint Venture, so we're going to market in the Russian CIS countries as one, which again is an excellent opportunity for us to take advantage of the global footprint to maximize the business and the markets that we serve.
Timothy S. Nicholls: And Chip, one last thought that I would mention in that regard. Our organizations are completely connected so we know what we're doing in every region of the world on almost every time. We're not competing with one another. We're actually maximizing the effects of the organization, so that we put very efficiently volume where we think it needs to go.
Chip A. Dillon - Vertical Research Partners, LLC: Got you, that's very helpful. And then I guess secondly, when you kind of take a step back and I'm certainly not asking you to endorse the Street's estimates or even disclose what you guys might be planning internally, but if you sort of look at the second quarter guidance and the first quarter results, you would expect at least the consensus to be about $0.30 -- $0.25 or $0.30 less for the first half than what we had going into the day. However, just sort of looking at pricing actions, the Consumer Packaging ramp in terms of orders and pricing and pulp going up, et cetera, et cetera, is there any reason that at least internally, if not externally, people should expect the second half to look any differently than we would have thought before these numbers for both the first and second quarter?
Carol L. Roberts: Chip, this is Carol. I think you articulated that well and I think we have line of sight and we remain confident that we're going to have to a strong second half. I mean, we're positioned for that, we're poised for that and things are lined up that way. And what we said was we're going to see a significant improvement in IP from '12 to '13 and we still think on the whole that's what we'll see. And John also said, the cash is the important part, too. The cash is going to be there.
John V. Faraci: Yes, Chip, when we put together the projects in Russia, again think of this: This is the biggest capital project that IP has ever undertaken. Bratsk is the biggest project in Siberia in the industry in 40 years. We didn't know exactly when they were going to start up. We knew when they did, there were going to be some significant start-up costs because you don't start up with $1 billion of capital projects for free. We just don't know when it was going to hit. So we now have line of sight on that and we're well into the commissioning and start-up, it's gone pretty well. So that's a piece we just need to move through and we'll move through that in the second quarter, not the second half of the year and not the first quarter.
Chip A. Dillon - Vertical Research Partners, LLC: Totally understand. And last quick one. Another set, the total maintenance for the year had gone down a little bit from $510 million to, I guess, $496 million. As you think about next year and with all the work you've done to simulate Temple-Inland and let's assume no footprint change, do you think that maintenance number, is that a good run rate like around $0.5 billion or could that come down next year or would it have a reason to go up?
Tommy S. Joseph: Yes, Chip. This is Tommy Joseph. As we look into 2014, I think the number that we're seeing in 2013 is about right. There's still some work that we got to do we think in the Temple-Inland Mills that'll keep that number flat.
Operator: Your next question comes from the line of Phil Gresh with JPMorgan.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: First, just the earnings runway drivers, the $350 million to $450 million that you talked about last quarter, just want to get an update on how you're feeling about that today and some of the moving pieces underlying that?
Carol L. Roberts: Phil, this as Carol. I don't have that in front of me, but I don't think that it's a significant change from where we were before. And as we talked about it today, we feel very good about Temple-Inland. We feel very good about Orsa. We feel very good about Brazil and the boiler. I think we've talked about xpedx. I think we've talked about Russia. We feel very good about Franklin flux [ph]. The mill is ramping up and the key there is to get qualified with Tier 1 customers appropriately and to continue to ramp that up. So all in all, I don't think there's much of a change as we talked about that. John, do you have anything to add on that?
Phil M. Gresh - JP Morgan Chase & Co, Research Division: All right, I'll just continue. So in terms of how you're thinking about the free cash flow or kind of the run rate coming out of this year and into next year with the box price increase coming through, it would seem to me you talked about the $5 billion in EBITDA run rate. We should be getting also close to the $2.2 billion in free cash flow even potentially with higher pension. So wanted to see if you could kind of confirm that if that math is essentially right. And if that's right, how are you thinking about the allocation of that cash, particularly around the dividend at this stage?
Carol L. Roberts: Yes, so I think that math is still right on point and accurate. And that's where we're heading. And as we talk about our capital allocation, we said that as the free cash flow grows, we would take a look at the dividend, targeting the 30% to 40% of free cash flow for the dividend. We said that we would look at that annually. We did look at that in the fourth quarter of '12 and made an increase, so we'll do that. We're still in the process of bringing down some debt, mainly around our commitments on our credit metrics, so we're doing that. As we talked about from a pension contribution, the mandatory pension contribution for '13 is very modest. It's $30 million to $40 million. And then we'll see how the math works out for '14, but we know that there'll be more and we talked about putting about $1 billion in there over the '14, '15, '16 time frame. And that still leaves more cash, and then we'll look at that cash, of course, how we can create value. We'll continue to look at opportunities, but we'll also look at how can we get some of that cash back to our shareholders in another way. So I think all in all, we're approaching the inflection point where we get to returning cash and that feels pretty good.
John V. Faraci: That 30% to 40% of free cash flow back to share owners in the form of dividends, it's an important priority for us. You just do the math and you take 35% and take the midpoint, there is room for the dividend to grow. And we've talked about investors who are doing that in a methodical, consistent, periodic and sustainable way.
Phil M. Gresh - JP Morgan Chase & Co, Research Division: Is there any reason to think we couldn't get to that 35% by 2014 if the normalized cash flow is there?
John V. Faraci: It depends how much you're going to view 2014. We're a little far out, but I think we're going to get there. We're not going to get there in one step and we're not going to take 10 years to get there. So our objective is to move in that direction. We want to have the dividend be sustainable, so we don't want to get in front of our skis here, but we've got significant runway we think to move the dividend up.
Operator: The next question comes from the line of George Staphos with Merrill Lynch.
George L. Staphos - BofA Merrill Lynch, Research Division: Actually, just wanted to piggyback first perhaps off of Phil's line of questioning. So if we look at the free cash flow generation, you should do this year more or less around $2 billion and we look at the credit metrics that you'd like to get to by the end of the year. Could you remind us how much debt and pension funding you're likely to do this year? It would seem to, if I do my math right, suggest that you will see in total maybe about $1 billion, $1.5 billion of debt and pension paydown and funding, if you will. And assuming that, that's correct and you look at the dividend later on in the year, perhaps with some upside there, is there room perhaps in your thinking, John and Carol, where there to be perhaps buyback maybe in '14?
Carol L. Roberts: I'll comment on your math. You're right, we targeted about $1 billion of debt repayment in '13 and the pension was only a small piece. And the other thing we've got to remember is we have proceeds from building products that are going to come. And then depending upon how the xpedx transaction turns out, perhaps proceeds from a dividend there. So we're going to be in a very good position. And you got to -- we talked about the dividend, the other option that we need to consider, as you said, George, is share buyback, and I think you're looking at it correctly that the cash will begin to accumulate really in 2014 when we get beyond our debt paydown.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. Second question on Consumer and just a quick one here. Has there been any pickup in your market share in recent weeks and months in the Consumer business and specifically within Bleached Board that's leading also to your pickup in backlog? I realize, obviously, Augusta, you took that down and pricings are looking to head higher so maybe that's helped your backlog as well, but anything in terms of market share gains?
Thomas Gustave Kadien: Yes, George, this is Tom. If you look at last year, throughout the year, we took close to 180,000 tons, a lack of order downtime and ran really to what our customers were demanding and not chasing prices. So I think we probably lost some market share through the year last year. I think as we turn the corner on this year, I say we're probably, on the upside, recovering some of that in not only in our coated board business, but also our Foodservice business which is our largest customer. They continue to gain market share. So clearly, we did, in the 2012 year. But I would say since the beginning of this year, I would say we're probably doing better than market.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay. One of your peer companies was saying not too long ago they had lost some share within consumer, I was just trying to see if there's any kind of relation there or not, to your knowledge, is there?
Thomas Gustave Kadien: I'm not going to comment on that.
George L. Staphos - BofA Merrill Lynch, Research Division: Okay, I appreciate that. Carol and Mark, a question for you. Congratulations on the integration success with Temple-Inland. I seem to recall from a research that ultimately there's still a lot of upside on the mill optimization side, maybe multiples of, I think, the $90 million -- I don't have the page in front me right now, but the $90 million you targeted. Could you comment as to what the longer-term upside is in terms of mill optimization and maybe how quickly you might be able to achieve that over time?
Tommy S. Joseph: George, we talked about total optimization in business of about $200 million. We still think that's a good number. We obviously have a strategy of having the optimization in our total system, the new and the legacy system of, at a minimum, offsetting inflation. And that's the target we're shooting for. But that $200 hundred in additional optimization beyond synergies that we shared at our Investor Day last year, we haven't found any reason to back off of that. Timing, we don't have a precise timing on it. Some of the takes some small amount of capital. Some of it takes better operating and getting the right grades in the right mills. We're a long way on our path to doing that, but we do have to complete our supply chain systems, which will happen this year. And then we'll really be ready to fully optimize our mills and our box plants and our mills to our open market, both domestic and export.
John V. Faraci: George, I would just add there what makes this really powerful is International Paper is a big system. But what makes a unique International Paper is every good competitor is trying to optimize their business every year, and they do. But we've taken a business that was 4 million tons and tripled the size of it, more than tripled the size of it. It's now 12 million tons. And so we've got opportunities that no one else has because no one else has more than tripled the size of their business over the past 5 years. If you think about it, we really never had an opportunity to optimize the warehouse or IP system because once we integrated it, we were back into Temple doing another integration, so we got the optimization of a much bigger footprint that we have ahead of us, which is great news.
George L. Staphos - BofA Merrill Lynch, Research Division: Yes. Last question, John, I'll turn it over. There's obviously been day-to-day improvement or decreases in people's outlook in terms of the global environment. When we look at your key regions and your key businesses, briefly do you think marginal trends are improving as we're getting into the second quarter across your key businesses, or if things weakened? Can you sort of discuss it by region?
John V. Faraci: I think there are pluses and minuses, George, on the macro outlook. China, probably is a little weaker but it's still a big economy growing at 7%. The issue there probably isn't the growth rate, it's the excess capacity that got added. Europe looks like it's going to be struggling to get out of recession a little bit longer, but doesn't seem to be falling in aggregate deeper into one. I think the U.S. economy feels to us like it's more like 1.5% to 2% GDP growth, not 2.5%. But if it gets revived in a solid 2.5%, we're wrong. But it feels like 1.5% to 2%. So the overall, I think, things are playing out. We're growing a lot slower than the world should be growing, or we're certainly growing a lot slower than the U.S. economy is capable of. And I believe eventually we'll grow at 3% to 4%, which is where we should be.
Operator: Your next question comes from the line of Paul Quinn with RBC Capital.
Paul C. Quinn - RBC Capital Markets, LLC, Research Division: Just a couple of things, just if you could give us a little bit more detail on the operational losses in both India and market pulp. I see India slightly better, but pulp slightly worse, not really seeing that in the pricing?
John V. Faraci: Tom, you want to talk about India first?
Thomas Gustave Kadien: Yes, India is a complex place. The biggest headwinds we have over in India right now, we've had a run-up in wood costs by an order of 60% between, say, the fourth -- middle of the fourth quarter and the end of the first quarter. And pricing has trailed, catching up with that. So that's probably the biggest headwind along with all the other things that you get along with doing business in India. Pricing is now, I'll say, caught up and we'll see improving results out of India. But the market's still growing. And on an APPM basis, on an India basis, the business still looks very good. We have a separate legal entity there. We're making some other investments in the market that kind of pulled down the numbers, but the APP investment is still much improving and a long way to go.
John V. Faraci: That's in the people investment.
Thomas Gustave Kadien: Yes, people investment.
Timothy S. Nicholls: Paul, it's Tim Nicholls. Just on market pulp, the biggest difference from the fourth quarter to the first was heavy maintenance outage in one of our largest pulp mills, the Georgetown mill, where we produce a lot of fluff pulp. And everything else was kind of moving sideways from where we were in the fourth quarter. We did see price start picking up early in the first quarter and we're seeing that continue now. So as we look forward, we're going to get a better mix of product. We were selling some hardwood rolls to balance out the system that we're not going to be selling and will see softwood prices, the effect of those to continue to go up.
Paul C. Quinn - RBC Capital Markets, LLC, Research Division: Great. And just an overall question on uncoated freesheet North American markets. We've had sort of worse data at least so far year-to-date. I noticed Boise is shutting looks like 2 machines at International Falls this morning. Is that enough to sort of reverse the acceleration of the decline in North America, or how are you feeling about that market?
John V. Faraci: Paul, you just made news around the table. I hadn't seen that on I falls [ph]. I think we're running at the upper end of what we think the normalized range is. You got to remember we talked about a secular decline, but there's also an economic impact. And when the economy is not running at what we think is more of a normalized rate, say, around 3%, it has an impact on demand. Having said that, the first quarter when we came into it, we knew it's going to be soft because we had 2 less days to work with. I think we'll see it solidify as we go through the second quarter and who knows where the second half of the year will be. But we've said 3% to 4%. It looks like it's running at the upper end of that range right now.
Operator: Your next question comes from the line of Steve Chercover with D.A. Davidson.
Steven Chercover - D.A. Davidson & Co., Research Division: A couple of quick ones. First of all, with respect to the $5 billion EBITDA that's going to be achieved a different way, is xpedx's $220 million objective in that new line of sight?
John V. Faraci: No. In one of the places, I think Phil asked a last question earlier, I was -- it reflects to what you were referring to, I think you were referring to a chart we had in the last presentation that kind of went through a whole bunch of initiatives that added up to $350 million to $450 million. We're going to be short on that, but I would say the way our share owners are going to benefit is the combination of xpedx and Unisource potentially has got far more earnings potential than that. And with the structure of the transaction the way it is, IP share owners will own more than 50% of the new co and so they'll have the opportunity if they choose to, to benefit from that.
Steven Chercover - D.A. Davidson & Co., Research Division: Actually I did have a question on the xpedx-Unisource combination. I think you guys have 75 or 80 facilities sprinkled across the country and I think Unisource has about the same amount. How many of those facilities does IP own within xpedx?
John V. Faraci: I couldn't tell you. I don't know. We lease a majority of them, but we do own some.
Steven Chercover - D.A. Davidson & Co., Research Division: Okay. And I think GP used to own most of their facilities, so there might be some real estate there. And then finally, it should be a soft ball. The shut of the machine at Augusta, does that free up some pulp that we should be adding into our market pulp capacity?
John V. Faraci: No, that will not result in any more market pulp sales.
Operator: Your final question comes from the line of Al Kabili with Macquarie.
Albert T. Kabili - Crédit Suisse AG, Research Division: Just, Carol, question on the corporate costs and it looks like the outlook went up on those, and if you could just elaborate a little bit more on what's driving that?
Carol L. Roberts: Yes, sure. No, this year, part of it was fourth quarter, we pulled out the nonoperating pension cost, so what gets left behind are some miscellaneous corporate expenses really related to supporting general IP level program and there were things that, Al, we just really can't and probably shouldn't allocate back to the businesses. Like, an example, captive insurance, foreign and domestic organizational structures for foreign headquarters finance and tax purposes and there's just some small remaining administrative pension costs. So if you actually look back over time, it was like $100 million I think in '11 and same-same it was $51 million in '12 and we're estimating $60 million this year. So I think that's just part of making that change over of pulling out that nonoperating pension that we leave behind this small piece.
Albert T. Kabili - Crédit Suisse AG, Research Division: Okay. And that's a good, I guess, annual run rate to assume kind of going forward?
Carol L. Roberts: Yes, I think so.
Albert T. Kabili - Crédit Suisse AG, Research Division: Okay. And on the inflationary outlook, Carol, are we still thinking about $200 million raw material and other inflation?
Carol L. Roberts: Yes, I think so. I think, of course, we all know that the big mover there is going to be if there's a change in the OCC going forward, but I think now we still see that, that's the kind of input headwind costs that we see for the year.
John V. Faraci: In a $30 billion company with 70,000 employees, you've got your costs rising and you've got to offset that with productivity improvement and cost reduction, so that inflation -- even though inflation as low as there.
Albert T. Kabili - Crédit Suisse AG, Research Division: Okay. Yes, fair enough. And then just final one, I guess, Tom on -- just following up on some earlier questions on the machine shut at Augusta. Do we see a sequential benefit from that in the second quarter? And if so, can you just kind of help us with order of magnitude there?
Thomas Gustave Kadien: Well, you have to remember we were taking the system down to the tune of about 180,000 tons last year taking LLO, and shutting down Augusta 2 is a more cost-effective way of taking the capacity out. It's going to take a while to work through some of the manpower, I'll say, bumping around the mill and shifting of folks. And to the enterprise, it'll end up being a benefit, but I'd say it's going to show up in the back half of the year more than in the second quarter.
Albert T. Kabili - Crédit Suisse AG, Research Division: Okay. And any sense for how much we should be thinking about there in the back half?
Thomas Gustave Kadien: It's about $10 million across the enterprise both -- it'll show up in both coated paperboard and in pulp.
John V. Faraci: We've been going for a little over an hour now, so I know we may not have gotten to all your questions. But let me just wrap up by saying we feel pretty good, very good, about the cash flow story at International Paper. It's still going to be in $2 billion range as we exit the year. So just remember, IP is a cash flow story. We're going to be generating a lot and we're going to be use it in a balanced way, which means some of it is going to go back to our share owners.
Glenn Landau: Well, thanks, John. And thanks again for all your time this morning. As always, Michele and I will be available after the call. The numbers are on Page 28 of the appendix and have a good rest of the day. Thanks, all.
Operator: This concludes today's conference. You may now disconnect.